Operator: Good morning. My name is Loshana, and I will be your conference operator today. At this time, I would like to welcome everyone to the Tupperware Brands Corporation Second Quarter 2019 Earnings Conference Call [Operator Instructions]. After the speakers' remarks, there will be a question and answer session [Operator Instructions] Thank you.I would now like to turn the conference over to Ms. Jane Garrard, VP of Investor Relations. Please go ahead.
Jane Garrard: Thank you, Loshana. Welcome to the Tupperware Brands Second Quarter 2019 Earnings Conference Call. With me on today's call are, Tricia Stitzel, our Chairman and Chief Executive and Sandra Harris, our Executive Vice President and Chief Financial Officer.Earlier today, the company issued a press release detailing its financial results for the second quarter in the June 29th 2019, and updating its outlook for the full-year. We also published a set of supplemental slides to accompany the remarks made on today's call. You can access these materials in our forward-looking statement language through the Investor Relations section of the Company website, where you can also access a webcast replay of this call later today.I will now turn the call over to Tricia for her remarks on our second quarter results.
Tricia Stitzel: Thank you, Jane, and good morning, everyone. We have a board vision for this iconic brand. My team and I have a deep respect for this Company that has a successful 70-year history, and we have a clear plan to make it relevant for the next 70-years.In my first quarter as Chairman, my primary objective has been to work toward refocusing our leadership team on the next wave of growth, by revitalizing the core, expanding access through our harmonized channels, and continuing to streamline the organization. This realignment will allow us to adapt our business to the dynamically changing consumer trends across our network of 3 million sellers.Now what's evident to me is that Tupperware is and always has been a great company. However, we still have work to do. We recognize that the power of our brand is not translating to the sales growth or the financial performance we or you want and expect. Let me reiterate what I've said before. This is the three-year endeavor that may be bumpy at times, we're tasked with turning a large ship and bringing along a family of over 3 million individual sellers with us.We are doing the right things for this business long-term, which can sometimes cause short-term discomfort. We continue to develop our technology and business model capabilities, which is essential to our ability to offer competitive entrepreneurial opportunity and to drive an active salesforce to reach today's consumer.What you'll hear from us today and moving forward is the greatest -- is the greater focus on the key components of our transformation strategy, along with specific updates in milestones that we believe demonstrate that we're on the right path and making measurable progress. Our focus is clear. Return to sales growth, improve operational efficiency for quality earnings and return capital back to shareholders. We remain committed to the dividend and it's our intention to continue this return of capital as we go through our transformation.We recognize the need to balance our focus between the sales force and the consumer, particularly with the rapidly changing marketplace that is different than it is today, than it has been for the last 20-years. We have a deep knowledge in the legacy direct-selling industry, and we have added a significant amount of talent to the organization, resulting an improved technological and digital capabilities, change in project management and retail experience. This is most evident in the hiring of Sandra Harris, our new CFO. She comes from a company with a portfolio of iconic retail brands and provides a strong complement to our historical perspective.What we are in the midst of doing right now is significant change for us, as we shift our model to meet the changing consumer demands, and we have a prescribed plan to get there by 2022. I'll spend some time later in today's call diving into those specific tenants of our transformation strategy, which includes revitalizing the core; expanding access through harmonized channels; and streamlining the structure. We believe this will work -- to allow us to move to our next wave of growth and drive greater sustainable returns for our shareholders.I'd now like to turn the call over to our Chief Financial Officer, Sandra Harris for a deeper discussion of our financials. Sandra?
Sandra Harris: Thank you, Tricia. As Tricia noted, while we are not satisfied with our quarterly sales, we are in the middle of taking proactive measures to drive sales and profitability in the near-term, while laying the groundwork for our long-term financial footing to create the next wave of growth. We are doing this by revitalizing our core business, expanding access to our products through harmonized channels, while also streamlining our structure to provide future growth in sales and operating margins.Let's turn to the top line to understand what drove the second quarter. We reported net sales of $475.3 million, down 7% versus last year on a local currency basis. This was below our forecasted guidance of being down 2% to 4%. Geopolitical tensions and lower consumer spending trends, predominantly in China and Brazil, are impacting our results. The economic slowdown in China has continued to put pressure on consumer spending in that region. Despite this trend, retail sales were up 3% in the quarter.Our company sales though were down 9%, as our Chinese studios rebalanced their inventory, as they adjusted to the slowdown and changing consumer trends. The consumer spending trend is resulting in lower productivity in our studios, meaning a shift from high priced products to lower and mid priced products, which were, up 22% versus the prior year. This does not fully replace the impact of the higher priced products like the water filters, which have been the base of our business there for some time.We are still growing and expanding in China with 400 new studios during the quarter, and closures improving down 16%. We are intentionally slowing down the rapid expansion of new studio openings and focusing on stronger productivity of existing studios to ultimately drive a healthier business. We are also seeing significant momentum in our digital engagement across China, in particular, the 9% growth in retake contracts during the quarter and 450,000 members activated with over $14 million in retail sales in our e-channel.Before we leave China, as you are likely aware, the Chinese government recently conducted a 100 day review of direct sellers in country, which negatively impacted the financial results of several of our direct selling peers. I do want to emphasize that we operate in China as a retailer through our studio model and we're not subject to this review. The slower consumer spend is also impacting Brazil, down 9% versus the prior year, despite an increase in the total sales force size.The efforts to reactivate the sales force and to reduce the minimum order value for new recruits has resulted an increased sales force, but not a year-over-year increase in ourselves. Our competitors are also suffering from some harsh externals and have gotten more aggressive through a louder voice in the media. Deeper offers and more aggressive merchandising and the rollout of digital tools to amplify their contact with their sales force. These factors emphasize our need to modernize. We continue to believe we have a relevant entrepreneur opportunity in this market.To create the next wave of growth in Brazil, we will need to make it more appealing by improving our processes and tools to make it easier for them to sell. For the remainder of 2019, we are implementing digital tools for both the sales force and the consumer. We will launch a media campaign to drive energy and the site excitement around the brand to ultimately grow the sales. We are also targeting market expansion opportunities through expanding the number of distributors in unpenetrated and under penetrated areas, and are working on B2B programs for 2020.Turning now to profit. Overall, our adjusted pre-tax return on sales was 14% for the quarter, which is in line with our second quarter guidance. This resulted in an adjusted earnings per share of $0.98, which is at the low end of our guidance after considering the $0.02 worth in current seasons, since we provided you guidance in April.Regarding cash, the outflow for the quarter was $21 million, which is $22 million better than last -- better than year-over-year comparisons, predominantly related to inventory improvements. We know that we need to revitalize the core by modernizing our model, expand access through harmonizing the channels and streamline our structure to improve efficiency and profitability. We are committed to delivering improvements as we launch this new wave of growth.At the same time, we need to adjust the outlook for 2019 based on current trends. We expect sales to decline year-over-year by approximately 9% to 11% in the third quarter, which includes a negative 2 percentage point comparison impact from lower B2B sales than in the prior year. Adjusted EPS is expected to be between $0.61 and $0.68, due to the expected sales decline in key markets, including less B2B, which carried a higher operating margin than our core business.For the full-year, we're expecting sales to decline between 6% and 8%, and adjusted earnings per share of $3.50 to $3.60 and operating cash flow net of investing of $80 million to $95 million.Before I turn the call back to Tricia, I'd like to address our capital allocation policy. We are proud of our ability to consistently pay an above average dividend. We believe this is the most prudent way to return cash to our shareholders, as we continue to direct available cash into organically growing our business and reduce our debt to EBITDA ratio to 2x. We previously announced in April 2018 a share repurchase plan of $200 million, $100 million of that is still available to us to utilize and we have access capital of which to do so. At this time, we believe it is most important to invest in our transformation, continue to pay the dividend, and reduce leverage, rather than repurchasing shares.With that, I'll turn it back over to Tricia to further discuss our transformation. Tricia?
Tricia Stitzel: Thanks, Sandra. I'm incredibly excited about the opportunities that lay ahead for Tupperware. We are keenly focused on the next wave of growth, so we can drive shareholder returns. And let me go a bit deeper into what that means. So firstly, we're revitalizing the core by ensuring an aspirational entrepreneurial opportunity for our sales force through updating compensation plans to remain competitive in each geography.During the first half of 2019, we launched two important compensation plan revisions. Indonesia is the most recent one, which launched on July 1st and is focused on making the mid to upper level opportunity more attractive. China also had changes, where we have added a requirement for new studio owners to meet a certain sales threshold and productivity levels before opening another studio. This is an effort to improve the productivity and health of our network of studios for the longer term.Our efforts to contemporaries the business model in Continental Europe is another component of revitalizing the core by reducing the administrative work from the sales force. We're currently on track with 20% complete as of the end of the second quarter and we expect the full transition by the end of 2021. In addition to reducing the administrative work from the sales force, this move provides better supply chain visibility and sets up the move for an enhanced digital presence including e-commerce.Our pilot markets for this transition in Europe have been Poland and Iberia. Now while they are small, they have delivered double-digit sales growth subsequent to the move. Another major component of our next wave of growth is extending access through harmonized channels. We continue to add studios to provide opportunities for consumers to access and engage with us. At the end of the quarter, we have a total of about 70 to 100 studios, including 6,800 of these in China.Now, sales of our studio leaders outside China are 11 percentage points higher year-to-date than last year versus a seller not in the studio. Furthermore, the studio model is having a positive impact on recruiting an average active sales force growth with strong double-digit improvement for sellers in the studio versus those not in the studio. These are early signs that the studios are enhancing the power of the brand and the entrepreneurial opportunity for our sales force.We've also made a major change in India with a new leadership team and a new business model that harmonizes the existing direct selling channel in India together with a studio concept similar to China, it also includes e-commerce initiatives through our own.com site, plus retail opportunities with Amazon and Flipkart. The implementation of this model is happening now and the Amazon e-tail site is already in pilot. It's important to note that this effort is harmonized with our distributors, because they will fulfill the orders received through Amazon and Flipkart channels. This allows us to control our brand and benefit from additional consumer traffic.The initial feedback from distributors was positive and 90% of the distributors signed up for the new model. We have a strong brand and demand for our product in India. However, we need to establish the appropriate consumer access. Well, India is a small market right now, there's a huge opportunity here, given the size of the population and our low-level of penetration. Expanding e-commerce, while harmonizing it with our existing direct-selling channel is another avenue of growth for us. This is the big opportunity as our e-commerce base is mostly in the U.S., Canada and Germany right now. And we've not yet leveraged the full power of this channel.As we mentioned last quarter, we're on track to improve the existing e-commerce capabilities in the US and Canada site, with a launch date of fall 2019. We expect this platform to be one of the foundations to be utilized for additional e-commerce opportunities across our market. We continue the pilot of personalized professional communications on behalf of our sales force in the US and Canada, with early results showing about a 10% increase in the activity of our new recruits and a $200 average increase in the productivity for those recruits, included in the pilot.And the last component, streamlining our structure. We are constantly evaluating all facets of our business to help centralize and standardize processes that will allow us to gain economies of scale. Our transformation efforts in Continental Europe to streamline our structure for better operational efficiency include 17 countries and 11 operating units. We have a plan for this and we are meeting all program milestones to-date. Just to reiterate, we will continue to sell in all these markets, but operate the back office from fewer locations. As this initiative progresses, we will provide more details. But in the meantime, things are moving forward on time, on plan, to achieve the savings we've outlined before.Now, underlying all these initiatives is technology and our innovative products. As of July 1st, we successfully went live on new ERP systems in Germany, Mexico and Australia. And on product starting in the late summer this year, we're going to begin to introduce a circular certified polymer in new products that aid in the reduction of single-use plastic products, including portable reusable straws and an on-the-go coffee cup.Furthermore, I'd like to highlight the progress that we've made in the area of environmental sustainability. In the past quarter, we launched our sustainability campaign, No Time to Waste, in which we pledged to significantly reduce plastic and food waste by 2025 through product innovation, packaging reduction, operational goals and strategic partnerships with organizations like the Ellen MacArthur Foundation and the World Central Kitchen.Since our founding, Tupperware has been on the forefront of introducing reusable long-lasting plastics in the home to reduce food waste. We continue to extend that commitment through our products we offer today that are made to keep food fresher longer and to be used for years to come through this new platform that frames our vision to increase circularity and decrease waste.We recognize that many of our strategies are not things that can be easily evidenced quarter-to-quarter. Our goal is to drive the transformation of our entire business to be more consumer-centric and sales force enabling across all of our markets. We are committed to achieving the mid single-digit sales growth as we've communicated in 2022. And ultimately, the successful execution of these critical actions will drive improved total shareholder return through a better performing share price and the continued return of above average capital to our shareholders in the form of dividend.Our capital allocation strategy and conviction in our ability to ride the ship leads me to believe our loyal shareholders will be rewarded as we successfully execute this turnaround. At our core, Tupperware is a community of 3 million independent sellers across multiple markets and cultures. We are working to revitalize the core, harmonize the channels and streamline the business to drive value for our community of sellers, the Tupperware Enterprise and our shareholders.And with that, we'll now turn the call over for questions. Operator?
Operator: [Operator Instruction] We have a question from the line of Doug Lane with Lane Research.
Doug Lane: Thanks for the update on initiatives that you're putting into place and I appreciate that. But I wanted to talk, if I could a little bit, about cash flow to pay for all this. So it looks like your cash flow from operation forecast this year is $80 million to $95 million. And I don't know what it was before. Is that lower than what it was before when you put that figure out there?
Sandra Harris: Yes, Doug. Previously we communicated $120 million to $140 million.
Doug Lane: And I was just wondering, I'm trying to get a feel for how this plays out, because there's a lot of moving parts here, so you can understand, especially from the outside. It looks like in your cash flow here and through June last year cash flows of almost $40 million use, I think it was a moderate cash generation this year. So you actually had a gain through six months. So it sounds like you reduced the second half and I just wanted to see if I could get some more color on the cash generation in the second half of this year versus the second half of last year?
Sandra Harris: Yes, Doug. So we have reduced it and is in relation to the pull down itself. So if you look at what the profitability will be for the remainder of the year, the cash flow was impacted by that reduction. And you're right, you know, it's coming off of the point where we've improved the cash year-over-year quite significantly. And as we've communicated, we really are focusing on areas of working capital, which has helped us to achieve that reduction year-over-year.
Tricia Stitzel: You know, the difference in the second half, we have much stronger B2B in the second half. So when you compare it last year. So when you compare it, you know, there is a bit of disconnect there. And all the initiatives that we have talked about have been factored into this clearly. So, you know, it's not something that's incremental.
Doug Lane: And I didn't see a CapEx number for the year. I noticed it's down year-to-date. Do you have a number for the full-year CapEx expectation?
Sandra Harris: Yes, it's somewhere between $60 million and $70 million, and we are obviously managing that as well based upon the priority investments that we're making. It's actually lower than last year.
Operator: Your next question comes from the line of Olivia Tong with Bank of America.
Olivia Tong: In terms of the dividend, you were very clear about your commitment to the dividend in terms of priority level versus debt reduction and share repurchase. But what about the actual rate, right now, you've been looking at your revised guidance. So just probably at the annualized run rate, let's call this 70% payout give or take. But, you know, pretty significant yield relative to where others in the market are? So just what -- if you could talk through that a little bit, that would be helpful. Thank you.
Sandra Harris: So, Olivia, you know, as we communicated back when we reduced the dividend, our commitment is to deliver around the $0.27 dividend. And you're right, it's resulting at about a 5% dividend yield at this time, and we do feel like that's the most prudent way to return to our shareholders.
Tricia Stitzel: I mean, it's just because of the low stock price, right? So if the stock price improved, the yield will come more in line. But the $0.27 is what we factored in.
Olivia Tong: And then in terms of the margins, in the margin guidance revision is a fair bit higher than the sales gains revision. So can you just talk through a little bit about the factors that are impacting the margin relative to your expectations last quarter, because a couple of things that you cited in your prior comments like B2B or things like that. But like those were already known when you issued the prior guidance. So just what was sort of the incremental relative to the guidance that you updated last quarter that resulted in such a difference between the EPS change versus the top line change?
Sandra Harris: So the EPS you are correct. It changed and if you track through all of the sales changes that we made, you would have expected roughly a $0.70 impact on EPS, so what you're seeing is relatively a $0.54 impact. And we're committed to ensuring that we're watching our expense structure, that we are doing all the things that we can do to keep our profitability at a good level as we see these sales declines while still making these important investments to start to grow the top line.
Olivia Tong: And then just lastly on B2B, how those discussions work? And where does it fit in, in terms of a priority? You know, and on -- in terms of driving an improvement in the top line?
Tricia Stitzel: So the way we think about these and in fact, internally, we've even changed the name -- the way in which we refer to them rather than B2Bs and really thinking it as this separate one-off thing that happens in the market. We now call it a recruiting and branding campaign. And that's exactly what we've done in France. And we really bring the sales force in and we also engage the local retail stores in our process as well. So we go into the stores, we train the management on the product. We train them on what we're trying to do. We've completely renegotiated how we interact in the store. So whereas previously they really were reluctant to have our sellers in there, our sellers couldn't recruit, they couldn't date those kinds of things.And so now what we're doing is engaging all of our sellers in this, they're free to do all those things. And what we've seen in France actually is a strong lift in the core business, because of the actions that they were able to take in Carrefour. The other thing that we did was to include -- ensure that our branding was included in their media campaign. So it really served as this point of pride for our sales force, as they saw all the billboards and I think there's something like 1,700 Carrefour stores in France. And they were really excited and engaged to see our branding out there.And so it was a big boost for us in France, it was a great learning, a great model. And what we're looking to do, we used to really focus these only in Europe. We're now talking with our partner there, because it's a global company to look at this on a global basis. And typically, we don't really like to repeat year-after-year in the same country, and so we would always take a break.And the great thing about looking at this globally is, it gives us the world as a playing field, and so we can post these B2B opportunities really around the world, which maintains the sales at a global level, right? On a year-over-year basis, so we don't have these peaks and valleys. And so we're really looking to do that. We see some opportunities for next year in some of our Latin America markets and potentially Asia Pacific as well.
Operator: Your next question comes from the line of with Beth Kite with Citi.
Beth Kite: I was hoping we could. Hi there, let me wake up. I was wondering if we could, I delve a little bit more into either regional or country expectations for sales growth in the second half of the year. Specifically, are you expecting any major markets to trend some better, some worse? How does that tied innovation plans, and then I guess specific especially to Brazil, I expected here in the second quarter that you -- if I was thinking about that trucker strike correctly, you had a pretty easy comp in a year ago. So just if we could also talk about Brazil and kind of the challenges there, even when you had a rather easy comp you had in this quarter, sort of what that pertains to the second half of the year? Thank you.
Tricia Stitzel: So let's dig into some of the bigger ones. So Sandra gave you a little bit of color on China and what's happening there. We're, you know, following through on the strategy that we had put forth for China in terms of moderating the rapid expansion of the number of studios that we have there, because we want to make sure that we have rock solid productivity and the health of these as we roll them out. And then, of course, the continuing turmoil in the economy and the lack of certainty around the trade deal, so all those parts don't have an impact on us. What impacts us with this trade talk is the impact that it has on the Chinese economy.So we started a couple of quarters ago moderating our need to depend on this high-ticket item of only having the high-priced water filter. And we had added in some mid-priced products, so in fact this quarter we saw a nice increase in that as Sandra said, one of the products there is a pressure cooker that actually did quite well. And that's about a $500 price point, we also have some sets that are at a lower level there, so we're starting to see that. And we do can project continued growth in China. But given the uncertainty in the economy, we're not projecting it as high as we did. So we'll moderate the growth there, but we will continue to grow in China.Now, in Brazil, we really see they are combination of two things. It's the economic environment that continues really to drag, tighter consumers -- with a tighter consumer spending. And then there's also an -- a aggressive competition in the market. Now, we do have a double-digit sales force size advantage, and so we were seeing that coming out of the first quarter, we were very optimistic about what we could do there with that double-digit sales force size advantage. And historically, we've typically recruited courier sellers and those sellers focused on the earning opportunity and they tended only to work for us.But today, what we see and as we move through the second quarter, we see that with so many more competitors, we have this shift from these courier sellers to more casual sellers, and given the tough economic environment, they really struggle to get to the second order. So we've seen the number of people placing only one order increased.Now, what we're doing in Brazil is, we're going to continue to focus on quantity recruiting. Because we know with less productivity, and again we're not really seeing a significant change in the economy for the second half, we're going to need an even larger sales force size. So they have some creative new programs, and also some new tools for Q3. So we have a new recruiting campaign. We're also going to rollout online enrollment for them and mobile ordering in the second half as well.And for the first time ever, we're going to launch a media and PR campaign to help our sellers cut through the noise of this competition and really differentiate ourselves. So we're going to be using both a push and the pull strategy to support our sellers and to attract consumers in Brazil. But Brazil, in terms of our outlook, we're not really changing what we see in the current trend, so though we're assuming that they're going to continue more or less with the same trends that we have seen.
Sandra Harris: Beth, I'll give you some color around that specifics as well. So Europe, Asia Pacific and South America, you know, we are projecting ourselves to be down 5% to 8%, which if you look at Q1 and Q2, you'll see that, that's roughly in line with trends with a few exceptions. As Tricia noted, you know, with China, we've talked about how this quarter it was really a story about the retail studios really working on their inventory to make the studios healthier.And although, we expect that to continue into Q3, we do expect that in Q4 from a company's health perspective, that we do improved in China. But it will be more in line with what the consumer spending trends are in China. The other exception is North America, which we are saying would be down 8% to 10%.And if you look at that, a slightly improved from where we ended in Q1 and Q2 and again, that is on some of the actions that we're taking around technology with the launch of the sites that we've discussed, the relaunch of our website in North America, and the conversion of the sales force numbers into sales for North America for the last part of the year. And then finally, as Tricia noted on Brazil, we do have a lot of work to do there. And so we do expect it to be more in line with the trends that we are currently seeing.
Beth Kite: Great. That was terrific. I think a lot of notes there. One thing Tricia, I think you and I talked about previously to the concept of expanding your portfolio through innovation focused on emerging markets to maybe shift a little bit more from food storage to food prep and greater earnings opportunity. Where would you say you are in that innovation cycle to prime a pipeline, if you will?
Tricia Stitzel: So I think that's what we're talking about was really the focus on the demonstration selling in the emerging markets, and we gave some examples of that in terms of some of the premium ticket products, and then bringing that down to a more value price, but still demonstration based for the emerging markets. And we continue to make good progress on that. In fact, we have one product that I believe is going to launch in the fourth quarter on that. And that is fully in our strategy for 2020 as well.
Operator: We've reached the allotted time for questions. Management, do you have any closing remarks?
Tricia Stitzel: Yes, we do. Thank you so much. And I want to thank everybody for being on the call today. We appreciate your support during this time of transition, as we invest and refocus our business to continue to take the actions to position Tupperware for sustainable and profitable growth in the long-term. We must reinvigorate and rejuvenate this great company for all the stakeholders. And we appreciate your ongoing investment in our company, as we work to turn the ship toward a future with more compelling products, streamlined processes, strong financials, and greater shareholder value.Sandra and I look forward to updating you on our progress next quarter as we report on the size of our average sales force, e-commerce and studio expansion, and the revitalization efforts in Continental Europe. Thanks again, everyone. We appreciate your support. Have a good day. Bye-bye.
Operator: This concludes today's conference call. You may now disconnect.